Didier Truchot: Ladies and gentlemen, good morning. I'm going to start the presentation of our 2020 first half results and give you the context in which we're working at the moment. Then I will give the floor to Laurence Stoclet, who will end my presentation, and she will also give you some indications on our prospects and forecast for 2020, what our assessment is on the overall year. First, an overview of the first half of the year. The basis on which we're working is €2 billion revenue in 2019, which we've reached, for the first time, this figure of €2 billion with strong organic growth in the last quarter, 5.6%, which was the result of the efforts we had started in 2018 to change our organization, make it closer to our customers and also closer to the markets mid-March 2020. And despite the important difficulties we came across in China and other Asian markets that were struck by COVID as early as January, the lockdown in Hubei started on January 25. Despite difficult situations in some Asian markets, our order book had grown by 5.8%, i.e., the same level as in 2019, and it was actually the best that we had had since 2011. So we thought that things were off to a good start in 2020. But if you followed Ipsos, you've seen what has happened. You already know the figures. You know how our order book was impacted and affected as of mid-March.  And until the end of May, the order book was affected by the pandemic. There was a strong impact, minus 40% in March. Even though the beginning of March was good, minus 60% in April, minus 28% in May. Those figures, of course, are dramatic, have no equivalent in the story of the company. It's the first time we have had such decreases 3 months in a row. This is the combination of 2 things, 2 factors. First, many of our customers have decided to postpone and/or cancel a number of projects that were already in our order book. Because we did have a number of orders, we had a strict procedure in Ipsos. You can only register orders in our system when you have a written document, a document signed by the customer confirming the order. So when we have to withdraw a project from the order book, it means that there's been a specific event, which we accept, and this leads either to a cancellation of the order or transformation of that order into another order. That is the factor number one.  A lot of projects that had been registered in our order book have been suspended or canceled. This explains the percentage. The flow of new orders, the flow of projects are customers intended to work on with us. Well, this flow never stopped. Every day, we have recorded at least 1 project, if not more. In total, as you know, we have a total of 70,000 projects a year, which means several hundred orders every year. There's always been quite a substantial number of orders, but of course, the volume was low. The unit amount of each order was lower. We've had less orders. So the net balance between canceled or postponed orders and the new orders, this net balance leads to those very impressive percentages, minus 40%, minus 60% and minus 28%. Then you have the month of June 2020 where there's a reversal in our activity. Why is there this reversal? We have much less cancellations, much less postponement of recorded orders. Those cancellations and postponements, as recorded in the previous months, were for projects that had been confirmed either at the end of 2019 or at the beginning of 2020. Today, this balance of projects ordered before the beginning of the pandemic, well, this balance no longer exists, either because the projects have been carried out or they have been canceled. So the flow of cancellations and postponements is very close to the usual flows we record when there's no pandemic.  And secondly, of course, there is a recovery in the number of new orders, the new orders being related to the fact that our commercial customers are interested in understanding what has changed, what is in the process of changing on their markets. It's also related to the fact that we have a number of new orders from public entities, ministries, NGOs that are active in the management of the COVID crisis. This means that in June, for the first time since the end of February -- in June, for the first time, we have a positive balance of orders, which means that our total order book at the end of June is at minus 9.5%. Of course, all this is on the basis -- 9.5%. This is the present situation now. We will see whether we are in a position to maintain that level -- a positive flow of order. In that case, our revenue will be better than minus 9.5%, or we will see whether June is only a temporary phenomenon, which could lead us to have revenue that will be -- that won't be as good as what we have now, minus 9.5%. So there's difference between the order book, minus 9.5% and the revenue at minus 13.5% because we have an important number of contracts that have been acquired in May and June that have not been executed fully and that are not recognized in the revenue. I just wanted to say that this gap between the minus 9.5% and the minus 13.5% is the stock that will contribute to improving our revenue in the second half of the year compared to what it would have been for the first half. That being said, I'm not saying that this situation is excellent, but I think it will be more or less what it is for our competitors. For the first quarter of 2020, which is the only period for which we have data for Nielsen and Kantar, minus 2.2% for Nielsen, minus 2.3% for Kantar. For Nielsen, we've worked on the part of Nielsen. We're competing with -- Nielsen is, you may know, a company that is listed on the New York Stock Exchange, and they're in the process of organizing a spin-off between 2 activities. One is Nielsen Media and the other one that's called Nielsen Connect. The media part is mainly deployed in North America and Canada and the U.S. In Mexico, that activity is not directly competing with the Ipsos part. We only have 5% of our activity that is audience measurement, but we're more often in competition with Nielsen. And the second part of what Nielsen knows, which will be a separate company that is already publishing -- separate accounts. Nielsen Connect is mainly in 3 areas. First, they measure purchases and sales of products, fast-moving goods in the world. The second activity of Nielsen is data analytics activity sold to manufacturers and retailers. And thirdly, we have -- they have a sector that is directly in competition with our activity, about $600 million, either in market research activity, sales forecast, mainly in the area of consumer packaged goods and also more traditional market research activities that are led mainly in Asia and in the Middle East. Nielsen Connect is one of our competitors. We sometimes find ourselves in competition with them in the bidding for some tenders. And in the first quarter, they've had a negative organic growth of minus 2.2%. Finally, Kantar, which is the biggest company, a market research company outside of panels on the market. They have been split from WP following an LBO. They're headed by [indiscernible]. They've been in this LBO from the beginning of this year. In the first quarter of 2020, they have had a negative organic growth of 2.3%. Of course, there's not so much difference compared with 0 and minus 2.3%. The only thing I mean is that Ipsos has had quite decent performance if you compare us with our peers and competitors. What about the first half of 2020? If you look at our sectors, there are very strong disparities. The area in which the activity has dropped most, which -- is the automotive sector. In a lot of countries, car manufacturers have sold no cars or very little, especially starting in China. In China, that represents 25% of our revenue. This sector has been very much impacted. The situation is slightly better today. That's why our performance in China is beginning to improve. By and large, however, this business is down 25%, bearing in mind that automotive, which used to account for 17% of our revenue, now only accounts for 6% in the first half of 2020. The other sector that has been hard hit is CPG, so mass market, the work that we're doing with P&G, Unilever, L'Oréal, Danone, et cetera. There are simple reasons behind this business is that it tends to -- we are living in unprecedented times, 50% of the global population has been under lockdown. This is an unprecedented situation, and as a result, a lot of our customers have decided to put their A&P activities on standby, their research activities as well. So it wasn't the right time for us to provide that kind of service. I mean in terms of trouble, do you really care about Coca-Cola as a brand name? Ipsos is the market research organization in the world that uses the most new types of testing. So we do a lot of new types of consumer testing, and these new testing protocols mean that we need to go to people's homes. So we pay -- we make house calls. And by definition, because of lockdown conditions and because of the need to maintain physical distancing, it's no longer possible to visit people in their homes. We're trying to protect, now just our teams, but we're doing our best to protect our interviewees as well. So I'm referring to consumers and citizens at large.  So when it comes to financial services, when it comes to telecommunications, well, the trend is pretty much unchanged. Pharma. Pharma is an important business for Ipsos. It wasn't as hard hit as the others. A number of pharma programs have been suspended but the most active business has been the public sector. Why is that? Well, because needless to say, in times of COVID, government agencies, health care authorities and a number of nongovernmental organizations, which are involved in public health programs, all of these different stakeholders have a desire to develop market research protocols on 2 main themes. So on the one hand, measurements, metrics. These clients seek to understand exactly how many people have developed antibodies so that they might potentially develop an immunity against COVID-19. And there are other programs as well, programs designed to understand people's perception of the situation and also potential changes in their behavior. This is going to be one of the top challenges in the next few months, in the next few years. But with example, how do we make sure the vaccination goes down well among the population? There's a very strong, very vocal anti-vaccine movement within society. So these are public health matters.  These are public health challenges now and in the future. The fight doesn't go down to just avoiding contamination. Once a vaccine is available, it's not the case yet, fingers crossed. There's been a lot of talk about vaccine development efforts lately. But once vaccines are available, we want to make sure that people know -- that people are willing to get vaccinated, not just to protect themselves, but also to protect other members of society. So this business is up 18%. Andrei [indiscernible] is in charge of this business at a global level, so he should correct me if I'm wrong. But we expect this growth rate to continue throughout the year. So what -- in what way has Ipsos responded to this situation, an unprecedented situation, as I've said many times before? Obviously, we have top priorities. We want to protect our people. We want to protect our workers, our researchers, our interviewers and all the people that we come in contact with, including interviewees. By definition, when you're dealing with a new type of situation, you need to work in a different way. So we need better cost control. We need to make specific adjustments to cater to the needs of our customers, particularly in these difficult times. So very specific constructions have been issued to our teams in the various countries where we operate. We have offices in as many as 200 different cities across the world. So there are very strict instructions in terms of complying with the country or the regions' health care regulations. And we have very specific protocols designed to maintain or uphold physical distancing between our different staff members, whether our interviewers or data scientists or data researchers, our staff basically, and the population, so our interviewees. A number of tools have been developed. We started rolling them out, and we started fast-tracking the rollout of these tools so that we can continue to do business even under lockdown conditions. So a lot of our people are working from home. We have taken this opportunity to roll out even more information programs. And whenever possible, we're trying to fast-track the back-to-work transition. We're not one of these companies that believes that systematic teleworking is the way to go for absolutely everybody. It is neither possible nor is it a good thing. Why? Because the quality of the service we provide boils down to collaboration, and I don't just mean all 4 people who usually work together should get together. No, we need to expand our horizons. We need to bring in more people. We need to be in contact with each other, and we believe that maintaining these collaborative systems will, at some point in time, mean that we need to be together physically in the same place. And this is why we have offices, and this is why we believe offices are here to stay. Let's drill down on our data collection methods. We interview as many as 60 million people every year, and out of these 60 million people, in 1/3 of cases, we use face-to-face interview protocols. So you usually have a researcher; an interviewer, who brings along a computer or cell phone or a tablet, and the interviewer will be face-to-face with either one individual or a group of consumers. So face-to-face interviews accounted for 30% of our business in 2019. These protocols are very much in use in developing countries such as India. But face-to-face interviews are also widespread in Europe, in the U.S., in countries which are considered as "more developed", simply because it is very important for us to maintain these face-to-face interviews. We want to continue to interview representative samples. And there are demographics that suffer from that digital divide, who may not have a computer at home, and the only way for us to get right answers is to interview them face-to-face. And for that, you need to be physically in the same room. So another part of our business, another part of our collection methods have to do with online interviewing. So people use their cell phone, their tablets, their desktop computer or their laptop. Like I said, online interviews accounts for 55% -- accounted for 55% in 2019, up to 60% in 2020. We also use snail mail. I'm not saying that postal services have been up to scratch, particularly during the pandemic, but snail mail is one way of reaching out to people. There have been significant changes, yes. And in the first half of 2020, you see our share of face-to-face interviews has dropped by 1/3 relative to last year. So it accounts for 22% in H1 2020, so the results are even more striking. I have news for you. I have good tidings for you. It's making us very happy. The GRIT report in the U.S. wrote about us is very famous on the other side of the Atlantic. And every year or so, they issue a ranking, a ranking of market research companies, and this is based on customer reports. Now, for the second year in a row, we ranked #1. We ranked #1 last year in 2019 and, again, we ranked #1 as the most innovative market research company on the market. We're very proud of that. It's a remarkable feat, and we wanted to share the good news with you. Simply because our line of business, like many others, is being transformed, is being changed by all of these new ideas, these new initiatives, these new ways of working, these new technologies. Ipsos is a well-established company, and the fact that such a heavyweight is considered as highly innovative is amazing. It boils down to the way that we work. Our modus operandi is based on new technologies. So we're not like an old-fashioned automotive company trying to compete with Tesla. We are Tesla. Still, on the innovation front, since 2015, we have been using different categories for our new services. So we have 4 main categories of new services depending on how novel they are, depending on the technology content, et cetera. So in 2015, as a quick reminder, this is our baseline. Initially, these new services accounted for 7% of our total revenue. 5 years later, this share was up to 18% in the first half of 2019. So we're seeing a steadfast increase in the share of these new services, and this means that we get to work with our customers in a different way, whether in terms of metrics. We're using innovative metrics. We developed a number of systems that use technologies such as virtual reality. And these new technologies help us measure people's behavior without having to interview them. A number of new services are based on the ability to capture data in real time. This is a very useful thing, particularly in times like this. The third main aspect has to do with Big Data and the analysis of Big Data. And on this front, why are we interested in Big Data? Well because it's interesting in and out of itself, but also it's important to combine it with other types of intelligence, market research, information, observational information. So what we provide to customers is integrated services based on different types of data. The data -- the amount of data we're dealing with right now is much bigger than what it was 5, 10, 15 years ago. So for whoever wants to use Big Data, whether companies or institutions, whether it's public or private sector organizations, what they need is an integrated vision of these different types of information and these different sources of information.  So this ability of ours to analyze Big Data is a necessary step towards providing integrated data to our customers. And we're also developing a number of procedures, not just for interviewing people, but also for helping our customers better understand markets and consumers. Let me give you an example. At the height of the pandemic, we worked with a number of key accounts. We worked with some of our top customers to try and help them gather and summarize all of the available information day to day, all of the available information on the pandemic and the impacts of the pandemic on consumer behavior. We don't do surveys for the fun of it. We do surveys in order to improve understanding and use of market research data by our customers. So if we can improve the ways in which this data is used, by definition, we ascribe more value added to this data. So the third aspect is management. This has been a brutal crisis. That's the word we like to use. How should I put this? Maybe we were late in understanding the crisis that we were dealing with. We waited until the end of February, while some people didn't wake up and smell the coffee until mid-March. So I guess we were earlier in some, but it took us until the end of February before we realized what we were dealing with. So a number of organizations and countries didn't call on us until the end of February. And because lockdown measures were taken in Europe in early March, at the beginning of that period, we found ourselves with a cost structure that matched our 2020 growth targets. We were targeting strong growth levels. And by definition, because our business was down, we simply could not meet our target -- our growth target.  Our business was bound to shrink. It was inevitable. And this is why we initiated a number of projects, a number of measures, recurring measures, to some extent, when it comes to the payroll. We implemented the freeze on hires. We planned wage adjustments for some of our key directors, executives and top managers. We also reduced the wage bill so as to save €14 million in the first half of the year. The expected full year impact is €45 million. So why are we saving more in H2 than in H1? Because it's taken a while implementing these measures. So for H1, the effect was only felt for 4 months, but for H2, for the entire 6 months. So a number of programs have been developed by a number of governments. I'd first like to say that not every single government has been as generous as the French government. These programs have been configured very differently, depending on the country. Some governments can have imagination in the way in which they've decided to provide employment support. anyway, for Ipsos, this has represented a total of €17 million in the first half, and for 2020 as a whole, it will represent €27 million. Some of the programs stop in the second half of the year or we have decided not to use them anyway, for example, furlough measure decided in France for March to June have not been extended after the end of June, which means that at the end of June, we've decided to, in fact, stop this system. We have enough work to occupy all of our employees and not need to resort any longer to those programs in France, hence, the difference between the first and the second half. Finally, we've had a number of other savings measure regarding general operating expenses, the suspension of international travel. Ipsos is a company where we travel a lot. We have a lot of offices in different countries, and we encourage our employees to go and meet customers, to work as teams and not only to do that with digital means. We've stopped, of course, international travel, and during this period, we have not traveled. And this -- all of this has represented savings of €15 million in H1, a total of €35 million for 2020 as a whole. And finally, there's another measure which is not savings as such, but we have decided to reduce by 50% the dividend paid out that was decided by the General Meeting end of May. So the expected impact will be €40 million for the first half. It will be a total savings of €107 million, plus €19 million on liquidity, which gives you a total of €126 million effect on cash. Laurence will tell you more about our position. Finally, of course, we continue our activity by meeting customers' needs. Of course, it was very important for us to make sure that this period is a period that we use to strengthen our links between customers and staff. We've done a lot of efforts in terms of publications, webinars. We have tried to disseminate as much data as possible, as much analysis as possible on what we were going through, what we're going through, what are the consequences of all this on our activity, our customers' activity. And I think that if you're interested, of course, you can ask questions to Jennifer Hubber, who is in the room. She is in charge of our programs of relationship with our main customers. I think that we've done an excellent work at this level.  We're coming out of this period. If I may say, the period is over. The pandemic is not over. But I would say that we're out of the total lockdown period. I think that what we can say is that we have reached a very important objective for us. Our customers today know they can count on us, and we hope we can count on them in a very exceptional period, which was the period of the great lockdown. We've also tried to develop specific package solutions. For example, we have a system of weekly monitoring of opinions on the subject of the pandemic and also other related subjects. We've developed that solution in our 16 main countries. Once again, we've tried to make our services even more digital than before. That is why we have developed a number of specific platforms that are automated and allow you to access people directly to ask them questions, or they can also allow you to better follow what it is they mean, what it is they express on social media. This is what we call SIA, Social Intelligence Analytics. We analyze the social media. We do that through a company which is Synthesio we bought 2 years ago. But we have added to Synthesio a data analysis layer, and Andrei here will be, of course, available for questions if you would like him to ask any question about that. The third subject I'd like to talk about is the situation. What is happening? What is likely to happen in the next few months or year? Ipsos, as you know, is not a company that has a crystal ball and that can predict the future. I'm not going to list all of the assumption, all of the ideas we might have about what society will look like in 3 years' time. Even though there are groups within Ipsos who are working on that and are trying, how can I say -- that they're trying to understand what society could look like following this major shock? I'd like to say one thing about this pandemic. The first reaction of people to such a shock is to try to go back to the before -- the life before the shock. Because this is something they know the actual reality that it is not really possible to go back to life as it was before.  So people have to adapt, reinvent and learn to live in a new manner following that shock. Of course, I'm sure a lot of things will be changing for our customers. What is clear to stop talking about long-term forecast, to talk about today, our customers and our staff are today working on past data, data of the past. It can be yesterday's data or data for a few months, whereas today, if you're working on, for example, data measuring people's behavior 6 months ago or if you're looking on a data regarding people's choices 6 months ago, all of these data have to be revisited. I'm not saying all of them are useless, but none of these data can be used without updating or revisiting. That's why we've developed with our customers a new narrative about the need to have fresh and topical data because yesterday's data are not directly usable. This, for example, is the result of a survey that an essential data tracker we've launched in a number of countries, Australia, France, Mexico, et cetera. You see the list of countries, the U.K., South Korea, Russia. Not all of the countries are here. We have 16 countries every week. We work in those different -- 16 different countries. We ask a number of questions, some of them regarding the present situation, but others are recurring questions, allowing us to follow the evolution of the situation. One of the question, for example, is the following. Do you think -- are you thinking about resuming normal activities after the pandemic? When you think about that, does it make you feel anxious, very anxious, et cetera? And in blue, you have the total number of people who say, yes, it makes me feel anxious, very anxious. I strongly agree or somewhat agree with the fact that the idea of resuming to normal activity. This anxiety is perceived very differently from one area of the world to another. Interestingly, Europeans are not the most worried people. For example, you see that in Germany, 35% of the German people surveyed, 51% of the Spanish, 45% of the Italian, Europeans are not the most anxious. The most anxious people are Indians, Brazilians but also the Japanese, the Mexican, very worried and very anxious. Those who are closest to the Europeans with the Chinese, only 39% of the Chinese say that they are indeed anxious about going back to our previous life. Second question asked within the context of this essential tracker of COVID-19. Once you've resumed your normal activity, are you going to change anything? Are you going to have some changes in your life, many changes? Or are you going to live just as you did before? Here, you have the total number of people who say, I'm going to change a few or many things in my life. It's a statement. It does not necessarily reflect what people's behavior will be. It's just the expression of a feeling and opinion at a given moment. Here again, you see that developing in very populated countries are really thinking that there are big changes in people's life, Brazil, India with 65%; Mexico, 63%; and South Africa. But in more developed industrialized countries, notably in European countries, the idea according to which there will be important changes, this idea is not as popular. For example, in France, only 28% of the population says it will be mainly changed. 30% in Italy. France's position is very interesting indeed because, in the surveys that we do every month, we have a survey on people's morale in 25 countries. It's called Global Advisor. In fact, the French are usually very pessimistic, as pessimistic as the Italian. We are united in pessimism. I don't know, there are 3% of the French that are optimistic, 4% of the Italian, whereas in other countries, you always have at least 50% of people who consider that their life is improving, that things are better. Of course, Southern European countries are not really the most optimistic countries. Regarding the pandemic more specifically, let's observe that European citizens are not among the most depressed. They're not very numerous to say that many changes will occur in their lives. Finally, one last question that was asked about the concern people may have about their jobs, their business, their professional activity. Here, we've indicated the evolution of answers by region. What is quite interesting is that indeed, things are not changing very much over time. For example, we've started collecting answers in March. The first point was end of February. I think that around February 20, we realized that we were entering a specific, very special period. That's why we've triggered market research in all of these countries at the end of February. The first data goes back to February 28. We've continued the survey every week, every other week, depending on the rhythm of the pandemic. And if you look, for example, at the situation in France, you see that in France, we have between 25% and 30% of people who thought that their job was threatened. End of February, it went up to 50%.  Today, again, we're close to 40%. There's been a peak at the beginning of the pandemic and then quite flat graphs. Same thing for the situation in the Americas with, of course, a difference to be made between the less developed countries, Brazil, Mexico, which are more worried than Canada and the U.S. The level of concern in those 2 countries, more or less similar to what you have in Europe. Finally, Asia, you have important variances, as you can see. We've included South Africa and Asia. Sorry about that. It's the blue graph, which you can look at separately. But you see the Indians, for example. 60% of the Indians are worried about their jobs, whereas the Chinese are not as concerned. Only 30% of the population says they are concerned about their job, even though the actual unemployment rate in China is above 20%. It means that we have 20% less people employed in China than last year. That explains why we find it difficult in China to see consumption recover. There's some growth, but it is related to the building of highways, new cities. That, of course, is included in the GDP, but consumption is still very low. That is why because -- that is because a number of Chinese are unemployed. But apparently, they're not too worried about their future. There are more specific things in what we do. For example, when other market research, the question of returning to shops. You probably have noticed, as I have, that shops are very pleasant because they're almost empty, which means that there's less people than usually. So it's easier to shop because of this situation. 46% of people in England, that is a survey that was carried out in England, 4,600 people. I think that we could have the same results elsewhere. 46% of consumers do not feel comfortable visiting shops and stores, brick-and-mortar stores. 20% of people feel that retailers have made efforts to keep customers healthy and safe while shopping. And finally, 23% say that they would be ready to pay more for products in-store, which they perceive as doing more to protect them. So we see through those figures that 46%. We do see, regardless of the pandemic as such, we're not out of the woods yet at the level of concern. Now, this is information that we have been looking at via a platform called Synthesio. And as I said before, Synthesio is a collection platform. It's a platform that collects, analyzes and distributes information on the contents of thousands and thousands of social media across the world, and it all happens at the same time. It's pretty much simultaneous. And as you can see on the screen, we're seeing interesting changes from one period to another. Over time, social media contents tend to change. They're not exactly the same as they used to be. Some contents go up, other contents go down. And obviously, this can have significant consequences on marketing policies as well as product policies. Now, here's another approach: being able to capture, in real time, the impacts of the epidemic. And for this, we are using technologies that make it possible to ensure real-time monitoring. We're using satellite information in particular. And thanks to these satellite technologies, we can georeference people. We can track them down. We know where they are. Where do they congregate? How do they move about? How do they travel? And on the screen, you can see a map that summarizes information pertaining to where people are, their location and also -- how should I put this? The places where the mortality rate is higher than elsewhere, where there are stronger or bigger population movements. So this map shows you the hotbeds of the epidemic, the areas where the epidemic is the most active. And we get to see whether things change geographically speaking. And this is the type of information that we sell to international organizations who seek to design up policies for managing or preventing the epidemic from spreading further. Now, I'm not going to spend too much time on this. I think I will wrap up with a very quick description of a study program, which is very important to us. This is a study program that we are currently implementing in the U.K. On a weekly basis -- or rather, on a monthly basis, we visit as many as 150,000 households in the U.K. So what do we do? We collect blood samples or saliva samples, so using blood tests or oral swabs. And the specimens are sent to a laboratory, and the laboratory uses these specimens to measure the level of infection, the level of contamination and the prevalence rate of antibodies to try and determine when, if ever, we will achieve herd immunity. Let me reassure you, we're going to continue to contaminate each other for a very long time. It's going to be a while until we achieve herd immunity. The U.K. is one of the very few countries, maybe the only country where this type of survey is being carried out, starting from people's homes. In other words, we are not looking at people who get tested in hospitals. No. We're collecting blood and saliva specimens directly from people's homes because that is the only way to get a sample that is truly representative of the entire population. The British authorities have devoted a lot of resources to this study, and they have selected Ipsos to carry out the collection work, not the analysis, but the collection work. So we've been put in charge of collecting the blood and saliva specimens. Now, this is interesting information. At some point in time, a little over 0.1% of the British population; in other words, 1.3 people in every 1,000 people had the virus. So for example, if we're talking a British population of 60 million people, this means there are about 85,000 people who, at some point in time, had the virus. And obviously, the longer the period, the higher the number of people infected because if you have been infected at some point in time, then you no longer have the virus. However, this is a figure that will be tracked over time, and this will be an opportunity to analyze the ways in which, irrespective of whether or not people get tested or whether or not they go to hospital, this gives us an indicator of the spread of the epidemic at a particular point in time. So once again, this is unprecedented information. No other country, not even France, has access to this type of information. Now, considering the size of the sample, between 100,000 and 150,000 people, that's a lot of people. And this means we can break down the results based on location, based on demographics, based on the type of person. In that way, we can better understand what is going on and hopefully better manage the epidemic. Here you go. I will now leave you in the capable hands of Laurence Stoclet. Let's get down to brass tacks. Let's talk about Ipsos financial performance in these times of epidemic.
Laurence Stoclet: Good morning, one and all. It is my pleasure to give you more detailed information on our first half results. Q2 has been difficult. Because of the pandemic, our revenue came to €786 million. Organic growth was down 13.5%, down from 0% at the end of Q1. So it is mostly in Q2 that organic growth took a dip. Very little ForEx impact throughout the half year. A little more impact at the end of the first half of the year because the currencies of developing countries depreciated relative to strong currencies, including the euro. Now, this has been a difficult quarter because of the pandemic, and as a result, our operating margin is faring rather well. It's withstanding the storm pretty well. And as we will see in a minute, our operating cash flow is reaching record highs. As a result, we can reasonably say that Ipsos is, by and large, weathering the storm very well. So if we look at the condensed income statement, all of the items are being described and commented in a very detailed fashion in the press release, which came out last year. So I'm not going to pare it, the press release from last night. I'd rather leave extra time for Q&A. I'd simply like to talk about our gross profit, which is up by 60 basis points. This is a mix of -- this is due to more favorable mix of data collection methods. There's a stronger emphasis on digital technologies. And our operating profit is down mostly during Q2. I'll give you more details about that in a minute. And our net attributable income is pretty much flat, up €1 million. And the adjusted net profit is, well, restated for noncash and nonrecurring items. And that adjustment is down relative to the same period last year. However, we're still in positive territory, close to €13 million at June 30, 2020. When it comes to our revenue breakdown by region, you may have seen this in the press release. The Asia Pacific region was the hardest-hit region throughout the half year and not just Q2. Also, emerging countries, because we have a lot of Asian countries that qualify as emerging countries, but obviously, China is included in the emerging countries, whether or not that extent is a different story. But these emerging countries are suffering more than other countries, including developed countries in Western Europe and in the Americas. When it comes to our operating margin, it's faring well, but it's still down by 230 bps. There are a number of positive items. Now, to the tune of 60 bps, we have a favorable mix with a stronger emphasis on digital technologies. Now, the second item is government aids, subsidies, which we have received to the tune of €17 million. So that's palatable in 20 or so different countries that have implemented these types of government subsidies, mostly in Western Europe and in Canada as well as in a number of countries in the Asia Pacific region such as Australia and Singapore. Now, when it comes to the negative factors, I'm referring mostly to our operations in the different countries. We have costs on the one hand, and most of our costs are fixed costs. Yes, it is possible to make them variable over time. But at a particular point in time, when business takes a huge dip, and that's what happened in Q2. And we have mostly fixed cost base and revenue is down, this means that it was harder for us to cover our fixed costs. And we have generated a number of savings in terms of fixed costs to the tune of €14 million. We saved as much as €14 million on our payroll, and out of the €14 million, there are €4 million that have to do with downsizing. The downsizing took place mostly at the end of Q2. And also the wage cuts that we initiated, and this was done mostly on a voluntary basis. Key executives decided to take a 20% pay cut. The number of managers did so as well. People agreed to take unpaid leave. And all of these measures have made it possible to offset, but only in part, the impact of our fall in sales. Now, the drop in revenue is also having an impact on our central costs. These are costs that are not borne by the operating units, by the business units. Now, these are the costs that are borne by all of the teams that manage our activities at a global level, innovation, in particular, or the product offering.  We are very proud of having been awarded this prize by the GRIT Report. We are seeing that we are ranked #1 as the most innovative market research company in the world. Obviously, we don't get there by accident. We are spending a lot of money on technology and innovation. But these costs are harder to cover when revenue is down. Thank goodness, we have generated a number of savings, which means that we are doing rather well.  We have made two acquisitions: Maritz Mystery Shopping on the one hand and Askia on the other. Askia is a French technology provider. Both acquisitions were made at January 30, 2020, and they were consolidated into our financial statements from February 1. The level of operating margin was a rather match -- matched the group's average, bearing in mind that Askia and Maritz Mystery Shopping are 2 businesses that were strongly impacted. Now, they have resumed business now, but during the lockdown, it was very hard for these 2 companies to continue to work. And also, there's a significant ForEx impact or rather a ForEx impact that is slightly less throughout the half year. Now, our revenue breakdown per audience, we looked at the sector-by-sector revenue breakdown earlier. This is pretty similar, and obviously, there's a strong impact of the COVID epidemic. Didier shared with you a number of examples. And we're seeing increased business in a number of areas. This pertains, in particular, with the ways in which citizens saw or felt about the crisis. And this has meant significant extra business for us. We're growing our business in this particular demographic. So this business is up 12%, bearing in mind that the other audiences, the other demographics are being negatively impacted by the pandemic. And as I said before, there is one business that fared well in terms of the operating margin because of all of the measures that we have taken. And this is reflected in our gross operating cash flow, which is down, in line with the operating margin, of course, but faring well, €59 million over the period. And also, free cash flow, once you've paid for the finance interest and taxes, that comes to €116 million. That's a historic record for Ipsos. And most of that can be ascribed to a positive change in working capital requirement because our customer items are down. On the one hand, there's more money coming in. Business was really good, was really buoyant in the last quarter of 2019, and business was pretty good until mid-March. So we built for that business. And the money was coming in and is still coming in.  On the other hand, business was down in Q2, and so this particular customer item has yet to fully replenish itself. So this outstanding cash generation is most welcome. At the end of the half year, we're talking over €300 million in available cash. Needless to say, this will be reflected in cash-outs in the second half of the year, but it is pretty satisfying to see that this is happening. As a result, we are in a position to confirm that our cash flow position is pretty good. Our gross debt by maturity is staggered all the way until 2025. And when it comes to our resources or ways and means as well as the cash currently available, not forgetting the €500 million in available credit lines, we are able to meet our debt obligations, both for 2020 and 2021. Well, we have confirmation. This is our balance sheet position. As you can see, our balance sheet is robust. Gearing is 41% versus 51% at December 31 of 2019 versus 30% in June 2019. So our gearing is much better now. And our net debt-over-EBITDA ratio has also improved, 2.2. Prospects. Needless to say, we live in an environment that is fraught with uncertainty, and this is why we have decided not to give you a guidance. We're not giving you detailed information about our level of activity or margin for the end of the year. We are where we are, i.e., with total order book end of June of around 10%. And we have trust in our team's ability to keep working in a very innovative manner with our customers, with all of the digital means that we already use, we've been using. That's why we've been able to continue working with our customers. Despite all of these uncertainties, we think that the second half should be better than the first one, both as far as revenue and the operating margin are concerned. And now I would like to give you the floor for any questions you might have. I will answer questions with Didier, and I think that, first, we will take questions from the room, for those people who have been able to join us this morning in our headquarters. Otherwise, we will, of course, take questions for those -- from those people who are following on the webcast.
A - Laurence Stoclet: Ladies and gentlemen, you can ask your questions by telephone. [Operator Instructions]. Make sure -- I will tell you when it is you can ask your question. We can now start with questions from the room. Maybe we can move to the questions from online. I know that our presentation was exhaustive and comprehensive. I hope so. We have one first question. Mr. [indiscernible] from TR Capital Investment. You have the floor.
Unidentified Analyst: You mentioned yesterday in your press release potential complications due to the gap between sales in emerging and developed countries. I wanted to know whether you could tell us more about this risk, what it implies for Ipsos.
Laurence Stoclet: Well, in fact, it's not a risk as such. It is the result of our analysis of the situation market by market. Ipsos is present in 90 different countries. We have diversified activities, not only for different segments of the customers but also in different countries. That is our analysis of the situation. We've explained it. It's notably related to the fact that maybe there's less money coming from the public sector in those sectors. It is one of the sectors that has been growing for us on the first half of the year, and it has been the case much more in developed countries than in emerging countries. This is an activity we tend to have more in developed than in developing countries. But it's only an analysis. It's not a risk. It is an analysis of the different performance of Ipsos, and we've better performed in developing -- in developed countries than emerging countries, which wasn't the case before as far as organic growth is concerned.
Operator: [Operator Instructions]. There's another question coming from the audio line. Mr. Max Hugo from RSA [ph].
Unidentified Analyst: I have two questions. In fact, first, end of July, what is your order book? What does it look like? Is it similar to the end of June? And what are the figures? Regarding external expenditures, what were the evolution for the first half? And how do you think they will evolve development for the rest of the year?
Laurence Stoclet: Well, I'm not going to give you information about the order book at the end of July. We're not end of July yet. There's still time. But after the first three weeks of the month, I would say that we're slightly better than end of June. Regarding -- you're talking about our operating expenditures, the savings we have made, about €15 million in the first half vis-à-vis last year, well, you're right to say that the savings were made mostly on the second quarter. We're going to keep doing those savings, hence, the forecast we've given. We said that for the year as a whole, we will save about €107 million on our operating costs, including public aid we have had in a number of countries. As we already said, we will not keep benefiting from these programs. We need people to go back to work full time.
Unidentified Analyst: Yes. More specifically, when I was talking about external costs, I was thinking about your contractors, the service you outsource. I know that you're using external panels. I wanted to know, first, what amount that represents. Those are the market research you're not doing yourself, but which we -- which you outsource.
Laurence Stoclet: No. Ipsos is, in fact, doing all of their market research. The questionnaires are not developed and programmed by outside companies. When we work with digital means, sometimes we buy a number of contacts. Those people are contacted by us. They're not contacted by subcontractors. So that is part of our IP, intellectual property. We need to ask the right questions to engage respondents. That is not outsourced. It will never be. We don't intend to outsource. But indeed, of course, sometimes we buy contacts in the digital area because we calibrate our panel to cover about 80% of our requirements but not all of them. We have peak periods. It is just healthy and sound management to sometimes call upon outside people during peak season. One of the first things we have done in a number of places when the pandemic started, when we were not -- since we were not in a peak season, we just stopped resorting to those contacts we buy from outside sources. But it's part of our strategy, nevertheless, to continue doing that. We want to be able to be managing peak periods. Our activity is seasonal, and it is in our interest to keep doing that. That's why we do resort to those outside companies, which manage contacts databases. Some of them are specialized and others, but we will work with them, but they're not doing our market research. Thank you.
Operator: [Operator Instructions]. No more questions on the phone. I'm going to give you the floor.
Laurence Stoclet: Thank you. Once again, thanks to all for having followed our presentation. I remain available if you have any comments or questions, Antoine Lagoutte, Franois Malin also or -- they're in charge of Investor Relations. Have a good day. And thank you. Special thanks for those who have come to Paris. Thank you.